Operator: Thank you for waiting, ladies and gentlemen. I want to now begin Rakuten's 2019 Second Quarter Financial Results Meeting for Investors and Analysts. First, I would like to introduce who are here with us. Masayuki Hosaka; Yoshihisa Yamada, [Taragami] that will be the people in the front row. And the second row, from your left, Hyakuno Kentaro; Yasufumi Hirai; Makoto Arima; Kazunori Takeda; Hiroshi Takasawa. In the third row, from your left, Koichi Nakamura; and Noriaki Komori. These 12 executives will be present and available for questions at the end of the presentation. Now over to you, Mr. Mikitani.
Hiroshi Mikitani: Good afternoon, and thank you for joining with us despite the scorching heat. And this was going to be the financial results announcement for the second quarter. I'm sure what you're most interested in or concerned about whether we can successfully launch Rakuten Mobile. I would like to touch on the topic later on. Just to tell you that we are making every effort, despite various challenges, and we are now confident that we can launch a service. And I'm expecting some question later on. And we will take a three-step approach. First, we would make the assurance about absolute stability in the first step that will take place in October as a small launch. And then although we are 100% confident, we want to see the result. And then online large-scale campaign would be introduced. And then there will be a major campaign and launch in the third step. Well, because the worst this scenario that will be the down or failure of network. And therefore, that's why we decided to take three-step approaches. I expect such a question to come out. And with this, I'd like to conclude today's meeting. To us, we used to talk about value share that we'd like to now, once again, boost up growth, including Rakuten Mobile, investment into logistics, a global branding, among others. And as a result, thanks to those initiatives, global GTV, last year, we already reached 15 trillion. For this year, we expect that would be close to JPY 20 trillion, with a 25% year-on-year growth.  I would say this is quite remarkable. And first, about mobile. I somewhat feel hesitate to say this, but I would say, nevertheless, this is not just a creation of the 4G network. You might say that’s what really, I found out, but in fact, it is increasingly conviction to me what we are actually achieving is not just about end-to-end virtualization. Because in the case of [condition] network, it was the mobile network version of the telephone network in the past. But what we are trying to do is to make mobile network into Internet. In other words, we want to make it a cloud network. In other words, network itself will have an intelligence. In fact, I hear your comments, including those from abroad. The leading carriers, top management, others, they are only talking about Rakuten Mobile. So, once this succeeds, then I'm sure this is going to be a revolution. So, this is not just about virtualization of network business. So, you know that this is a board that we are using, Huawei, Nokia, Ericsson, we are not using them at all, and this is just a regular server. On top of that, virtualized IPV version 6 and EDGE, they were implemented on top of that. As a result, of course, cost is far lower. It is extremely fast, high bandwidth that will be achieved with virtually no latency, I would say. For your information, Rakuten network latency, 4G network latency that is, is actually comparable to 5G network latency of other carriers. That is because it is software basis. And even in the age of 5G, in fact, the Samsung, Nokia, Ericsson and Samsung, Ericsson, Nokia are the only choices of hardware if you cannot get procurement from China. And then you have to connect them onto 5G network. Well, as in our case and the EDGE, 5G antenna would be installed and with that, we can realize 5G. And therefore, this is really revolutionary. And then you can place game or AI. And with that, a wide range of services could be introduced. In other words, so far, the large-sized memory and high-performance CPU used to be -- used to reside in the terminals while now, this will be placed in a diversion network. What was not achievable with mobile, it can be achieved, thanks to mobile edge computing. So that in the past, instead of the hardware-based approach, we are now shifting heavily towards a network and trying to shift intelligence there. You might just say, you are too late to realize that, but actually, this is what I have learned. Therefore, MEC or mobile edge computing, for the first time in the world is going to be introduced, and that's what Rakuten Mobile is. As a result, our network is not just a pipe. It is an intelligent platform. So, that's a major difference compared to conventional approach. In a simple example, data storage, for instance, that was placed in iCloud and Google Cloud, that's where storage was located. Well that's automatically, the network side would establish a storage in the network because this is an Internet and therefore, you can attach multiple telephone numbers into a single hardware or SMS could be sent by WiFi wherever you are in the world, you can enjoy almost all kinds of the same services, no matter where you are. In other words, this is a network-based service, which is completely different from the past. That's what is going to be introduced in October. Therefore, and in fact, this is what I anticipated from the beginning. We're not just mobile network operator or service provider because we created everything by ourselves, by ourselves. Like Amazon created its own cloud, naming it AWS, just like that. With this, we are going to introduce the strategy globally. I would say, right now, the major share of the revenue of Amazon comes from Cloud, just like that, and will be realized for Rakuten as well. Next, about the Rakuten Medical. Well, it has joined the Rakuten Group. I just want to announce that. The Phase III tests are being studied, and we have already received the Sakigake Designation for potential product innovativeness and effectiveness. So, we want to deliver this to the users as soon as possible. Now brand, about Ebates. Ebates has retired completely. There is no brand that is named Ebates on the Internet. It's called Rakuten Reward. So, this brand recognition is progressing very rapidly. So, in terms of the brand equity, in Japan, we are Number 1. And also, outside of Japan, we are also going up in our ranking. U.S., it's at 29.8%, but by the end of this year, it should reach 70% or close to 70%. NPS, Net Promoter Score. It is very good compared to other competitors. Service improvement, we will be working on that as well. The fundamental strategy for us is this catch phrase called "walk together," not just Rakuten but our merchants, hotels – hotel businesses are also – will be using the Rakuten platform to do commerce or business. Now, about commerce. 9.4% last year, that was domestic ECGMS. This year, this has grown to 14.5% year-on-year. So, it is growing even further. So, what we did was to improve quality and also to make the merchant community to involve them. And also, about delivery, we are trying to standardize this delivery and to improve various jobs. And the RSL, Rakuten Super Logistics, is the project that we are going to introduce new logistic centers in two locations. We've improved the Rakuten Express by the end of this year. We want to cover 60% of population with this. And about international free shipping on orders, the threshold, we heard various comments. And according to merchants, in fact, I would say, most of them are convinced. There are 47,000 merchants. And therefore, the – although we are giving detailed explanation to all of them. Yet, we are not – not all of them are convinced yet, but we started the introduction of explanation in January, at the time of January meeting. So, if you purchased 3,980 yen or more, then the new shipping charge would be imposed on customers. That will be the first step. And to the analysts, you know MercadoLibre, that is Latin American marketplace, they used to achieve year-on-year growth of about 10%. But with the standard, the shipping charge threshold introduction, their growth is now boosted up to 50% year-on-year. We wonder whether we can emulate that growth. But at least, roughly speaking, I believe this can drive up growth by like 15%, Mr. Takeda, right? And we hope, at least, there could be what is achieved – that will be what we could achieve. And also, we are trying to strengthen branding. And therefore, the fashion week will become Rakuten Fashion Week from Amazon Fashion Week, together with consumer branding, and we want to work together with fashion industry to establish a closer relationship to make it the Rakuten Fashion that is popular. And for FinTech, the – in terms of number of accounts, especially with introduction of SBU. Rakuten Bank, securities and insurance saw explosive growth of the new accounts. And right now, we have 28 million accounts. When we combine all of them, is soon to reach 30 million. For Rakuten Bank, we receive about 4,000 new accounts application every day. Many accounts are increasing. If you rule the Internet banking, then you will be the ruler of FinTech, and that's what we want to achieve, whether it is credit card or QR payment, eventually that would end up with the bank account. So that's what we want to get hold of. And Rakuten Card, we are still achieving 26.5% growth, which is compared to 10% growth in the industry, so we are Number 1. And yet, our growth rate is faster than others by about 15 percentage points. About financial or FinTech strategy. First, you have to have a bank to begin with. Because without a bank, you can't issue a credit card, can't issue a debit card. So, first, in Europe, we received the commercial banking operation license, and started the business since last year, and then for Taiwan and United States. And for Taiwan, I think it was last week that we received the license. And we are currently in the process of application. For instance, with the credit card, cashback is more convenient and emerging offline and online would be facilitated with Rakuten Card. If you use it, then you can enjoy cashback or the point back. And therefore, in the case of [Gafa] what used to be quite powerful in the United States, we can compete effectively against [Gafa.] And one of the major revenue drivers is the ads.  We want to achieve 300-billion-yen revenue in 2021. And therefore, we are trying to acquire large size outside advertisers. And also, we're expanding the service that is offered through our platform. And what is most important is the data that we have compared to Google and Yahoo!. The weather, the service that we offer based upon data is more effective than others, that will be crucial. And so far, our service has been quite popular. That is why we consider that this is a number that we can achieve. In fact, within Japan, compared to Amazon, we would say we are more advanced than them. I hear that is 5x or more compared to Amazon, that's Rakuten value. When we try to evaluate value, I would say, the market cap is too low, too undervalued. And therefore, when membership value is translated into a net present value. At present, it is 5 trillion yen, that is 21.3% higher year-on-year, with mobile and other services introduced. We want to achieve 10 trillion-yen membership value, that's a target. As to highlights for Q2. First, revenue. That is the 13.3% up year-on-year, achieving 306 billion yen; and Global GDP, that is 4.5 trillion yen. And on a yearly basis, there will be more than 20 trillion, that is within the reach. So, as the current pace is maintained, we can achieve 20 trillion yen or 30 trillion-yen domestic ECGMS. That's 14.5% increase. That's a marketplace based, whether it's Ichiba or Rakuten Travel, and Rakuten Card.  As I said earlier, the growth rate is 26.5%. And the 10 trillion line is already surpassed. Once you achieve 20 trillion yen or 30 trillion yen, eventually, membership value, that's up 21.3%. Ad revenue, it's growing quite fast and financing ecosystem, especially securities, banking and insurance, the number of accounts is growing quite strongly. For Rakuten Bank, we are aiming at 10 million bank accounts for the time being, but eventually, we want to give more benefit to users, if they have both bank account and a card, so that we want to be the Number 1 bank account of choice. That's all for me for now.
Operator: So, Hirose, CFO is going to speak about the consolidated results. 
Kenji Hirose: I'm sure you would like to ask as many questions as possible to Mikitani. So, revenue, operating income in total, during the last three months, the operating income was 32.6%, and non-GAAP was 3.2%. Revenue was 306.4 billion. So, securities and investments business or the part that we had to invest a lot in. So, the base business is, of course, doing very well. We are seeing a profitable business there. Nonrecurring investment, of course, in the half year, Lyft valuation loss was large, but the profit is also going up significantly. And about the future growth investment, if we included that in the first half, we had the record high results. This is on the segment base. So, maybe if you can take a look at it later. And as usual, this is a waterfall chart. The base is the domestic EC is seeing a tremendous profit and growth, but FinTech, you can see that there was a loss. There is one point, and maybe you may be asking questions later on this point is about the equity method. So, the other companies are going to be joining Rakuten to – for us to complete the Rakuten Galaxy. So, Lyft and Rakuten Medical and [Kurunabi] will be awarded equity method. The time schedule is shown there, but Lyft has already gone IPO. So, the effective date will be in three months later than scheduled. Lyft from end of March, it has been awarded equity method. So, there was a valuation loss of 28.4 billion yen, but in the valuation gain, in total, was 24 billion yen. The Q2 2019 net valuation loss was minus 4.4 billion yen. The domestic EC has recovered. So, the profitability has gone up and LTV has improved. At the same time, as Mikitani explained, including Fintech, crossover is being promoted very rapidly to increase the membership value to 5 trillion yen. So, the existing membership value, the so-called LTV for the existing business, well, that is not reflecting the future prospects, including mobile. So, I think we are going to be able to reach 10 trillion yen in the very near future. As for the segment-based results. I think we should save that for the Q&A. So, I'd like to move on to the Q&A session now.
Q -: